Operator: Good day and welcome to KBR's Third Quarter 2014 Earnings Conference Call. This call is being recorded. As a reminder, your lines will be in a listen-only mode for the duration of the call. There will be a question-and-answer session immediately following the prepared remarks. You will receive instructions at that time. For opening remarks and introductions, I would like to turn the call over to Mr. Zac Nagle, Vice President of Investor Relations. Please go ahead.
Zachary Nagle: Good morning and thank you for joining us for KBR's third quarter 2014 earnings conference call. Today's call is also being webcast and a replay will be available on KBR's website for seven days at kbr.com. The press release announcing KBR’s third quarter results is also available on KBR's website. Joining me today are Stuart Bradie, President and Chief Executive Officer; and Brian Ferraioli, Executive Vice President and Chief Financial Officer. During today's call, Stuart and Brian will cover the quarter’s results in more detail and discus our market outlook and financial statement. Please refer to the accompanying presentation that’s posted on our website at kbr.com. After our prepared remarks, we will open the floor for questions. Before turning the call over to Stuart, I would like to remind our audience that today's comments may include forward-looking statements, reflecting KBR's views about future events and their potential impact on performance. These matters involve risks and uncertainties that could impact operations and financial results and cause our actual results to differ significantly from our forward-looking statements. These risks are discussed in KBR's third quarter earnings press release KBR’s earnings presentation, KBR’s Form 10-K A for the period ended December 31, 2013, and KBR's current reports on Form 8-K. You can find all of these documents at KBR.com. Now I'll turn the call over to Stuart. Stuart?
Stuart Bradie: Good morning and take you to slide – first slide related with KBR safety. Safety is a core value at KBR and we start every meeting with the safety moment when there is more than three people in the room. And looking off to yourself and those are value is a moral on our business impeditive that it needs leadership commitment. And at KBR, we are refreshing our focus and energizing the organization with the goal of zero harm through continuous improvement. And as you can see, we are making some progress. So moving on now, I’d like to just turn to the quarter overview. In short, a better quarter with strong reimbursable bookings in hydrocarbons and a good cash position, but frankly still too much noise albeit as a balance to the puts and takes. EPS improved to $0.21, which is not acceptable, albeit an improvement of over, I guess a loss of $0.32 on the same period last year and a loss of $0.06 in Q2. Operational performance was as expected and Gas Monetization and Hydrocarbons with the exception of a now resolved welding issue on Hydrocarbons project and bookings in Hydrocarbons exceeded $1 billion with over $900 million in reimbursable EPC and engineering services, which gives us a good balance to back roll the portfolio. Pleasingly, Services stabilized in the quarter with all the businesses in that segment in the block and the net position in Canada was largely unchanged. IGP continues to lag and this was driven largely by ongoing performance on EPC power projects. Cash was again a good story in the quarter and I’m pleased to report we resolved a number of the legacy commercial issues. The strategic review is on schedule and we are booking to lock in on Analyst Day to New York on December the 11th and invitations will go out for that I think later today Zac. Okay, I’ll now hand over to Brian; he will take you through the numbers in a little bit more detail.
Brian Ferraioli: Thank you, Stuart and good morning. Moving on to Slide 5, you’ll see at the top of the page the bookings of just over $1.3 billion were relatively strong as Stuart previously mentioned, that’s driven primarily by our Hydrocarbons segment with the $1 billion of bookings and $900 million on reimbursable contracts. Backlog at the end of the quarter was $12.1 billion and that reflects decline from the year ago but as we have been speaking about for several quarters now, this is largely related to the Gas Monetization projects burning off with the next round of bookings expected in 2015 on those negotiated type projects. Moving on to the actual performance for the quarter, as Stuart mentioned, Gas Monetization continues to perform very well, particularly on the two Mega LNG projects in Australia. Hydrocarbons performance again was good with a one exception of the welding issue that we previously mentioned, but that increased the cost for the quarter by $18 million pre-tax. Services stabilized and I guess the good news is that there was no real news out of our services compared to where we’ve been. IGP is where all the noise occurs for the quarter. We had an increase in forecast cost to complete an EPC power project here in the US and that was about $33 million pre-tax. We resolved a number of commercial issues and that resulted in a net gain pre-tax of about $8 million. However, we still are incurring significant legal fees and we have $4 million in the quarter with ongoing disputes. And finally, one of the disputes we did settle with the tax sharing matter that we had with our former parent and we recorded a $24 million pre-tax gain associated with that. Finally, on this page, I want to point to the corporate overhead number, you see that that has come down from a year ago and reflects the conversations we’ve had in the past about trying to reduce ongoing costs. Moving on to Slide 6, comparing the segment information. You see the revenues were relatively down from a year ago, but again consistent with what we have been saying on the Gas Monetization. And that’s the burn-off of two projects that we had in 2013, Skikda and Escravos both of which are largely completed. Hydrocarbons, you see the revenues are increasing and again, as we’ve been saying in the past related to the EPC work that we are doing in the downstream industries here in the US, but during this quarter, we also have picked up some additional services bookings more in the upstream side. Moving on to the profit and earnings for the quarter, Gas Monetization variance from a year ago reflects the large change order that we had booked in the third quarter of 2013 that which did not reoccur and Hydrocarbons we talked about the welding issue. IGP has the cost associated with the power projects as well as the settlement of the various disputes. Services are stabilizing and see a significant improvement from where we were a year ago which again, 2013 was the start of the problem projects that we had in Canada. The other gross profit reflects $13 million year-over-year improvement in the utilization of our labor and reduced costs and that’s again an area we’ve been working on throughout the year. And finally, the other EBITDA reflects the settlement of the tax sharing dispute that I talked about previously. Moving on to Slide 7 to compare Q3 with Q2 of this year, the revenues were relatively flat. Moving on to the earnings, the only thing that I’d point out here is in the second quarter, we had a $15 million benefit relating to an insurance claim that settled in IGP which did not reoccur during the quarter. Services, as we mentioned earlier, stabilized and the triple M joint venture offshore maintenance vessels that we have in Mexico are under contract and also helps contribute to the earnings for the quarter. Moving on to cash on Slide 8. We had a strong operating cash flow quarter, generating a $158 million in operating cash flow. You see the cash balance was a healthy $1.048 billion. However, most of which that remains overseas with $710 million abroad. But the capital allocation remains a priority for us and you see during the quarter, we returned an additional $17 million to our shareholders and that gives us a $137 million returns so far year-to-date from both share repurchases and dividends. And in total, we’ve returned to shareholders just under $1 billion since the spin back in 2007. The share count is down to $145 million and we’ve actually repurchased 3.8 million shares rather than the 3.7 million shares you see on the slide. CapEx $12 million for the quarter, $7 million related to the ERP rollout. We are reviewing all of our CapEx expenditures going forward including ERP and we’ll have more about that when we talk to you on December 11th when we – we’re talking more about our strategy. And with that, I’ll turn it back over to Stuart who will talk about some of the markets with which we participate.
Stuart Bradie: Thanks, Brian. Moving on to Slide 9 on the market outlook for gas monetization. As Brian mentioned earlier, the work continues well on the two Mega projects in Australia. We are starting to get a bit of momentum behind the Shell Global LNG agreement and we are seeing quite a lot of activity in the pre-front and engineering design phases of the Gas-Mon business. I guess the major FEEDS in process are those completed. I guess, the update on there is that during the quarter KBR/JGC/Rekeiysa JV was awarded. The FEED and EPC bid opportunity for the Tangguh Train 3 and that’s a BP led venture in Indonesia and that’s a two horse race against another joint venture consortium. The award goes on in terms of bidding for the three multi-billion US dollar EPC contracts, the Pacific Northwest, Petronas. The bids were submitted and we continue to work with the customer and the award is still scheduled for next year. Lake Charles, the bid for that is ongoing and again award expected next year and the Tangguh LNG in Indonesia I’ve already mentioned. I think, just dealing with this head on, I think the market fundamentals in LNG remain sound, but with the capital discipline being an ever increased focus, I think and some of the uncertainties around politics and environmental issues et cetera around these big LNG projects that could have a continued uncertainty in FID timing. Moving on to Slide 10 and in the Hydrocarbons segment, we’ve talked about the Q3 bookings being strong in the quarter and some highlights there that the Koch Nitrogen EPC which is reimbursable EPC was awarded in the quarter, the work for INEOS, again reimbursable EPC during the quarter. Pleasingly, we also picked up the – I guess, the FEED for the ENIs Mozambique FLNG and that leads to an EPCIC submission in the summer of next year. We continue to work in the Gulf of Mexico on BP Mad Dog Phase II project and we signed a master services agreement with Statoil in the quarter. So, our continued presence in North America continues to be strong and we are now executing for EPC ammonia/urea projects in North America that really differentiated because of KBR Technology and currently we are bidding two additional projects with expected awards late this year and early next year. Chemicals continues to be a really strong market and a significant opportunity and – by also executing a number of FEEDS in the downstream and Chemicals sector with EPC rollover opportunities. Downstream in the Middle East remains strong also. And our technology markets led by global ammonia as well as other chemicals again, remains strong. We do have some additional offshore project pursuits and particularly in the UK and Norway and in the North Sea. But I think, it’s again sort of dealing with this sort of head on, I am sure that we’ll be cautious on the oil price, I think, our perspective on that is there is no panic from the IOCs that we’ve talk to. I think $80 oil was around three years ago when the projects still preceded and at that time, however, I think the world once – at the margin will be economically challenged. There is definitely an increased capital discipline coming from the majors. That said, our principal exposure is in the Downstream and Chemicals market and Gas Monetization and that remains very attractive with the lower gas prices. Moving on to IGP. Our work in the UK for the Ministry of Defense really around one-time facilities management and maintenance contracts continues to perform really well. And I am pleased to say that we have confirmed this preferred bidder for the UK Ministry of Defense fixed Wing Training contract which is over $700 million contract. We are in joint venture 50-50 and essentially, we’ve got a procurement period of three years to acquire a number of aircrafts and then a 15 year contract to train the UK Ministry of Defense pilots over that period. So, again, an annuity type contract, which fits. We are still seeing a lot of international government services opportunities. The UK army for example are, they are having to return all their armed forces from Germany back into the UK by 2020 and that’s a significant opportunity given that we already did the housing and the rebasing of the military in Salisbury previously. We’ve got – we are seeing a lot of opportunities in the expeditionary support services for the UK as well and then the – and for the UK police and local government services. Our Australian defense force support services again, we are continuing to see good opportunities as they move through their outsourcing program. We are going after a number of US overseas base operation support again in the facilities management area supporting the US government. It is one thing I would like to point out on this slide is that the strategic review will consider the future for fixed price EPC power projects. Moving on to Services, we are seeing continued opportunities in North America for Industrial Services and US construction and for the latter particularly a differentiator supporting our EPC offering. The Mexican offshore business, longer term contracts as Brian mentioned earlier puts us in a good shape there and I think our offering and we are first in the market doing some of this stuff in Saudi Arabia and Poland is also attractive. I think the Canadian market overall for Industrial Service, the maintenance side of our business is attractive and in the long-term, I think the current focus is quite correct and I see stabilizing on the three remaining module assembly projects and we’ve made some progress in that area. But again, trying to deal with this head on, the current oil price would give cost for concern that the near-term Canadian Greenfield prospects would be economically challenged. So moving on to Slide 13. I have mentioned this a little bit earlier where we are in the strategic review that the process continues and pleased to update you that is on track as promised. We will discuss the results at the Analyst Day on December the 11. We will also webcast that meeting. Decisions taken could impact annual goodwill and other intangible impairment analysis and may result in restructuring charges. The plan is to reintroduce guidance as promised before with the yearend financial results going into February 2015. So, in summary, 2014 is a transition year and we said that before that the strategic review will be completed in Q4 as promised Gas-Mon and Hydrocarbons continued to strong operational performance. Services has stabilized and IGP is impacted by charges on power projects. Strong Hydrocarbon bookings on reimbursable downstream and oil and gas projects. We resolved a number of legacy issues in the quarter which was very pleasing. We are pursuing a large number of opportunities through pre-FEEDs and FEEDs into EPC and the backlog of projects, our robust pipeline of prospects and a greater focus on efficiency makes us cautiously optimistic for 2015. We plan to continue focusing and resolving commercial disputes and capital allocation efficiency. Thank you.
Zachary Nagle: Now I would like to turn it back over to the operator for questions please.
Operator: Thank you. (Operator Instructions) And we will take our first from Tahira Afzal, with KeyBanc.
Tahira Afzal – KeyBanc Capital Markets: Good morning folks.
Stuart Bradie: Good morning.
Brian Ferraioli: Morning, Tahira.
Tahira Afzal – KeyBanc Capital Markets: So, I guess the current of much getting the qualitative things about – and restructuring and given an add you have placed those two events to come up, so I guess the two questions, I’ll ask, Stuart, I know the first two, three months you really spent a lot of time interacting with customers going in checking out the head offices et cetera. Would you talk a bit about how your focus has migrated over the last couple of months in terms of what you’ve been looking at?
Stuart Bradie: I mean, you are absolutely correct. I’ve spent the first little while going around a while meeting our customers and our clients and our partners. I think the one thing I would say that the bones are good at KBR. The people, the process is the brand are all good. And so, really the focus now is really thinking about how we best – sort of bring the business together maximizing the synergies that naturally exist and looking at how we can become more efficient into the future with the backdrop of where strategically we want to take the business. And that includes what businesses we really want to be in and the ones we want to invest in going forward. But also, taking a long hard look at the businesses that we perhaps don’t want to be in and then, from there, actually looking at how we actually migrate the culture as well to one that’s very market facing, more empowered and highly accountable which I think is the right focus going forward. So, that’s really – it’s really around strategically where do we take the business, how do we best organize ourselves to take advantage of the markets that are attractive in the future and who are the best people and what culture do we need to lead the business going forward. So that’s been, that’s what we are going out and spending a lot of my time as well as still engaging with our customers and ensuring that we’ve got that market facing focus.
Tahira Afzal – KeyBanc Capital Markets: Thanks a lot Stuart and as a follow-up, you did some buybacks in the quarter, but the stock did hedged probably the lowest levels you’ve seen since the 2008 when that crash. So surprisingly it lies given that, would you comment on whether you were sort of in an extended quite period, perhaps so if you are looking a restructuring and you’d be shoring up some of your cash as part of the restructuring in terms of with the restructuring also includes many opportunities?
Brian Ferraioli: Well, Tahira, this is Brian, let me start. We had pretty good visibility into some of the quarterly results which precluded us from doing any open market transactions. So, that’s one of the reasons why the activity was relatively liked. As you know, once we have that, we can participate in open market transactions and we did not set up any advance purchased mechanism. So, that’s the short answer on share buybacks for the quarter.
Tahira Afzal – KeyBanc Capital Markets: All right, thank you.
Operator: We’ll go next to John Rogers with D.A. Davidson.
John Rogers – D.A. Davidson: Hi, good morning.
Stuart Bradie: Morning.
Brian Ferraioli: Hi, John.
John Rogers – D.A. Davidson: Couple of things, first of all, and I know you are going to give us an update in December, but, when you talk about the strategic review and what you are looking out there, are there – and you mentioned the goodwill impairment potentially or restructuring charges, but the cash costs of all this I assume are going to be modest or potentially modest to be more a deferral of expenses? Is that the right way to think about it or do you want to hold off?
Brian Ferraioli: I’d say deferral of expenses, I am not sure, I understand…
John Rogers – D.A. Davidson: Well, you mentioned in ERP and some of those.
Brian Ferraioli: Okay, okay. I mean, obviously, any sort of goodwill impairment is not cash and so you are definitely be right to think about it that way.
John Rogers – D.A. Davidson: Right.
Brian Ferraioli: But, certainly, some restructuring costs would be sort of delayed costs and if we – an ERP again would be a delayed cost. So, it’s a balance I think.
John Rogers – D.A. Davidson: Okay, okay. And then, Stuart, just in terms of your discussions with customers and what you are looking at out there? Do you have the sense that, or could you comment on what pricing looks like, I mean, with the slowness in investment decisions push out of some upstream work and I don’t know whether KBR has to come to the market more aggressively to win more or just some thoughts there on how your bidding works now?
Stuart Bradie: I think the way we are bidding now is particularly in Hydrocarbons is coming through very strongly. So, I don’t see that as a particular issue. But I think it’s what’s bidding is that as I have gone around and talked to customers that, what price stands they would welcome a revitalized KBR and one that’s aggressively are pursuing in the market and that’s what our intent is.
John Rogers – D.A. Davidson: Okay, thank you.
Operator: We will go next to Steven Fisher with UBS.
Steven Fisher – UBS: Thanks, good morning. Stuart you mentioned the uncertainty of timing in Gas-Monetization project, I guess, that’s not surprising. Is there a range of the degree of timing uncertainty? In other words, do you have higher confidence in any of these projects going forward on schedule versus some of the others?
Stuart Bradie: Yes, I mean, that’s a really good question. And, I think, Brian has mentioned on previous calls, these were the – these are companies back some time ago, when there is a number and pre-FEED and FEED that we will talk about later as they evolve. But certainly, I mean, there has been quite a bit of noise around the Canadian prospects at the moment and the Canadian tax regime and we see the royalties’ position. And so there is a bit of politics there and you would be a good bidding any time on some of those. I don’t think any of us on this call could work that out. But in terms of things like the – what’s happening in Indonesia, BP have announced that they’ve signed the gas sales agreement to support the train 3. So, I mean, my expectation with that is, they’ve got the supply, they’ve got the demand and sort of the economics obviously from their perspective of albeit that they haven’t got the EPC pricing in yet, but assuming that all works out. We would think that’s a pretty robust prospect and I thinks certainly for Lake Charles. But again, with Lake Charles looking at British Gas and they’ve now got a CEO and I am sure he is having a good look at their capital spend portfolio. But, as it stands today, I mean, that’s very much a tooling operation and – again the sort of the supply and the demand side of that is covered. So, again, as long as EPC pricing sort of stands up, and then you would think that that project would – that’s got a pretty good chance to go ahead. So, I think you have to look at each of them differently. But certainly the, lower gas price is making LNG still a long-term good market for us and the trick is, as you rightly point out, which ones do you go after and which ones do you think have the best chance of proceeding to the next phase.
Steven Fisher – UBS: Great. Thanks, that’s helpful. And then, on the Hydrocarbons segment, where do you think you are in the lifecycle of the FEEDs and activity there. I mean, as you ramp up construction of what you talked over the last year or so, or even more recently, are you replacing what you are going to burn at a faster pace, the same pace or slow, in other words, do you have the prospects coming in that could kind of keep this business continue to grow at a nice pace?
Stuart Bradie: Yes, I mean, we think that part of the market is very attractive and we are seeing a number of pretty robust prospects coming through the door and so, I think the answer to your question is yes, probably in short.
Steven Fisher – UBS: Is the size of the prospect in Hydrocarbons getting bigger in other words you need to win perhaps you were to replace what you are burning or is it about the same?
Stuart Bradie: It’s probably about the same. I mean, I guess…
Steven Fisher – UBS: Thank you.
Operator: We will go next to Jamie Cook with Credit Suisse.
Jamie Cook – Credit Suisse: Good morning. Hi, good morning. A couple questions. First, I guess, Brian, what do you think is a reasonable time line for investors to expect less noise out of you know KBR's earnings I understand you made some headway on some of the commercial legacy issues, but we still have a charge here we still have a charge there you been there over a year. So can you provide us sort of an update and also an update on the two larger projects? And, I guess, Stuart, the second question is for you. I don't want to steal thunder from the Analyst Day, but from looking at the slides, it appears to me what we're going to here at the analyst day is does it make sense to be in power at fixed-price. If you are in government maybe you go more international construction in the US is a bigger focus and that maybe we streamline some costs but that sort of the just a bit or is there anything more meaningful there? I'm just trying to read into from the retirements that you had an IGP recently too if that's shedding some insight on the strategic importance of the division. And I get back in the queue.
Stuart Bradie: Okay. Let’s take the first, in terms of noise for the quarter, Jamie, the commercial disputes we have that contributes to that, we are working as hard as we can, but we are not going to settle things and it makes sense for our shareholders. So, it’s hard to predict when you are going to get commercial settlement of legal disputes that takes to come to an agreement. We have made some good progress, I want to point out to this quarter we had – it was a net gain on these settlements. In terms of the power project that you are referring to the charge on the power project, that’s all driven by execution and that’s an execution issue and the accounting follows the execution. So, I can’t guarantee there will be any more charges related to projects, but again, I don’t think that that’s something that’s a legacy type issue to clean up. It’s going to be driven more on performance in the field.
Jamie Cook – Credit Suisse: Sorry, Stuart, just an update on a larger projects because there's still a concern there's another shoe to drop there. On the larger project like we seen from the smaller projects but on the med your projects in gas monitor how are they trending relative to expectations?
Stuart Bradie: Sure, I’ll probably answer that, Jamie. I think Gorgon is the commercial basis for that , for other’s it’s a reimbursable project and so, I think the challenge there is just to keep working that to help the client get it on stream. But I don’t think there will be any commercial noise on that. I am not expecting any. And on excess that’s a mix, it’s a mix of lump sum unit rate and reimbursable and we are just moving through that. I mean, so far so good. And we’ve got a lot of scrutiny on that from a commercial management and execution management basis. But, I mean, the feedback from the reviews we have done recently are that we’ve – that’s going out as we would have hoped.
Jamie Cook – Credit Suisse: Okay, and then just, am I totally off in my read on your Analyst Day in December?
Stuart Bradie: I think, Jamie, you know I can’t answer that question. But a good try. Yes, I think, let’s have a chart in December of all of that. I am very conscious of the fact that, whatever we say, we have to deliver on that promise and I’d rather be ready to say at that time.
Jamie Cook – Credit Suisse: Okay. Thanks. I'll get back in queue.
Operator: We’ll go next to Andrew Kaplowitz with Barclays,
Andrew Kaplowitz – Barclays Capital: Good morning, guys.
Stuart Bradie: Good morning
Brian Ferraioli: Good morning.
Andrew Kaplowitz – Barclays Capital: Brian, can you talk about cash generation going forward? You’ve obviously put a strong focus on cash generation since you come to the company. Can you generate free cash flow closer to net income going forward? And with the cash continue to sort of move towards US cash because it seems there was much more foreign cash in the quarter, and you actually see a majority of US cash as you go over the next year or so?
Brian Ferraioli: I think the answer to all those questions is yes. We do have a significant focus on cash. The cash generation though impart is driven by the type of contracts. So to the extent that we have more reimbursable type contracts, it’s harder to have favorable working capital movement on those projects versus more of the fixed price contracts, which tend to have more milestone type payments. But there is no reason why we shouldn’t be generating cash equal to our earnings. And typically, we have a mix of fixed price and reimbursable type contracts. So that’s certainly the goal.
Stuart Bradie: And a lot of the work we won recently is of the US.
Andrew Kaplowitz – Barclays Capital: Okay, Stuart, maybe just on the topic of risk control, since you've come to the company can you talk about your assessment of risk control over the last – how is it – when you step back, how do we assess risk for the company? Because we keep seeing there is noise and I guess what I'm trying to figure out is a good enough at KBR or as part of the strategic review, do you tell us that you are putting us in actually layers or anything like that?
Stuart Bradie: I mean, I think that is, it’s a fundamental piece of the strategic review. Obviously, the KBR does really well in some areas. Risk management and clearly, it’s not done so well in others and the whole emphasis going forward is to ensure there is a consistency of process. There is a quality of personnel and there is an understanding of what we are good at and what we are not good at. And I think if you can apply those three in a consistent way, then you will start to see less noise coming from the execution.
Andrew Kaplowitz – Barclays Capital: I guess, what I am trying to say, Stuart is, the risk assessment simply not has developed as you thought when you came to the company?
Stuart Bradie: Oh, no, it’s really highly developed and I think, one of the good and bad things about KBR is that it’s had some horrific experiences many years ago in the EPC environment. They almost brought the company down and I think one of the takeaways of the – one of the only positive of that is you got really good at risk management. And I think where we have strayed looking at the company is, we have not applied that process consistently. And that’s what we are going to do a lot of work to make sure that we do that going forward and we will talk more about that at the strategic review.
Andrew Kaplowitz – Barclays Capital: Okay, thanks, guys.
Operator: We’ll go next to Jerry Revich with Goldman Sachs.
Matt Rybak – Goldman Sachs: Hey, good morning. It's Matt Rybak on behalf of Jerry. I was wondering if you could say more about how you’re thinking about North America LNG opportunities beyond Pacific Northwest and Lake Charles, particularly in the context what might be perceived as a slowing opportunity set. And then, if that is the case, what end-markets do you expect to offset some of the softness?
Stuart Bradie: I mean, as I said in – when we presented we do have a number of ongoing pre-FEEDs and FEEDs as we talked before about Gulf LNG and there was some press yesterday about what we are doing in Canada and in the pre-FEED arena. And, so we are seeing a number of those opportunities. So, I am not seeing a slowdown in that area, but I think it’s worth pointing out that where we are seeing an increased activity is in the Chemicals and the Downstream sectors and as you would imagine, taking advantage of the cheaper gas price.
Matt Rybak – Goldman Sachs: Got it and then, turning to the Services business, can you possibly quantify what if any impact the Canadian pipe and module assembly projects had in the quarter? And maybe say a little bit more about how you are thinking about the profitability trajectory of the Services business going forward?
Stuart Bradie: I mean, in the quarter, the net result and Canada’s margin was largely unchanged. So, I think, they’ve done a really good job of stabilizing the performance on those projects. So, that’s probably the first statement. And I think, again it’s part of the strategic review and I guess the reducing oil price, you have to be cognizant that the cost of production and Canada is one of the highest than it becomes the first to be affected by those oil prices.
Matt Rybak – Goldman Sachs: So is it fair to think that you can continue in the block going forward in this business? Or as you touched on earlier, maybe there is some lumpiness in the performance going forward still?
Stuart Bradie: I mean, I think the objective where we second our business is that – well, in all our businesses that we told is that they are not going to operate in the red. So, there has been – if the market shrinks, we have to shrink the business and the footprint to manage that.
Matt Rybak – Goldman Sachs: Thank you.
Operator: We’ll go to Robert Norfleet with Olympic Global Advisors
Robert Norfleet – Olympic Global Advisors: Hi, good morning.
Stuart Bradie: Good morning, Rob
Robert Norfleet – Olympic Global Advisors: Just a quick question on the awards in the quarter, I mean. Obviously, a great job in the Hydrocarbons area. I guess, my one question was around the 90% of that being cost reimbursable. Is that more by just given the risk power to the company? Or are we actually just seeing that trend takes place especially in the North American environment where we're seeing a lot more cost reimbursable versus fixed-price work especially in the Chemical side?
Stuart Bradie: I don’t know what the trend, but there certainly- there is a balance of risk in the thinking both of the customers as to who is best to take on that risk. I mean, in certain areas in the US, the labor market is very hard and then the Gulf Coast being a perfect example. So the productivity risk and the wage escalation risk is – shared or worse than best taken by the customer given the size of their balance sheet. So, I think you’ll see a balance, but where you can actually ring fence and you can provide your own labor force. There is more appetite from lump sum.
Robert Norfleet – Olympic Global Advisors: Okay. Great, and it is my – just deals with margin. Even when you back out some of the noise in the quarter, the property charges and one-time items, based in Hydrocarbons and Gas-Mon obviously we are still well-off where historic margins have been. I know that partially imply, labor absorption lower utilization rates. But I guess, two questions I had. One is, is there any structurally different in these businesses that margins can't get back more traditional levels especially in the Hydrocarbons area kind of the mid to upper-teens? And number two, I’m just trying to get a sense if a work being booked today that's going into backlog at higher margins than the existing legacy backlog?
Brian Ferraioli: Well, Rob, this is Brian. You have to keep in mind for Hydrocarbons, the type of projects has changed from the more recent past. If you go back to 2012 and early 2013, there are lot more services type contracts and now we’ve moved to a much more EPC and EPC by definition will have a lower margin, higher aggregate dollars, but lower margins given the construction activity. So, as long as we continue to book EPC, the margins will be less than they’ve been looking at periods that were primarily services. I don’t think the Service component itself is any different, but just given the nature of construction full EPC and the size of the project, you are always going to see margins lower and if we just did professional services, particularly in the oil and gas technology areas.
Robert Norfleet – Olympic Global Advisors: Okay, that's helpful. And how about just in terms of pricing right now as it relates to work we are bidding versus legacy backlog pricing?
Brian Ferraioli: I don’t think there is much change, but again, the mix of projects is changing.
Robert Norfleet – Olympic Global Advisors: Okay. And I guess, I am just trying to get a sense, I mean, some of the companies, some of your peers, obviously are seeing improvement in margins but because of utilization rates not necessarily better pricing, but mix being a component of that and in some cases, seeing projects especially North American moves more towards the fixed-price basis. I guess, my question gets down to – is that big booking in Hydrocarbons when we had 90% cost reimbursable, is that likely a trend we should see over the next few quarters? Or are we going to see more fixed-price work as we continue to see bookings kind of improve?
Stuart Bradie: Yes, I mean, I’ve tried to answer that in the last time, but I think it’s a balance and it will be appropriate to who is best placed to take that risk depending on where in the country and at what phase the project is in the – that it’s – I don’t think it’s – I don’t think for us, we are seeing a trend, I think it’s a specific project.
Robert Norfleet – Olympic Global Advisors: Okay. Thanks a lot.
Operator: We’ll go next to Martin Malloy with Johnson Rice
Martin Malloy – Johnson Rice & Company: Good morning.
Stuart Bradie: Good morning.
Martin Malloy – Johnson Rice & Company: On the project in Hydrocarbons, the $18 million increased cost on an and the IGP project with the $32 million increased cost, are those projects both complete or how much do they have to go?
Stuart Bradie: So the Hydrocarbons was a welding issue and the project was – the welding issue is now resolved and that project is now progressing and that issue is – as far as we are aware, it’s behind us. In terms of the power project, the way that that was done is that we were doing an estimate forecast cost to complete and that we continue to work on that to get the accuracy into both, I think, in our particular project is 85%, 86% complete.
Martin Malloy – Johnson Rice & Company: Okay, and then, with IGP, even backing out the $33 million, the margins were pretty low. Is there anything else within a segment that was weighing on the margins this quarter that you can parse out?
Stuart Bradie: The legal fees are more certainly at the headwind in that business.
Martin Malloy – Johnson Rice & Company: Okay.
Stuart Bradie: The margins in that business are not acceptable at the moment.
Martin Malloy – Johnson Rice & Company: Okay.
Brian Ferraioli: And Marty, I’d point to the volume of business in the US government side has declined dramatically given the lock cap four run down and you know lock cap three is over. So, there is a volume issue on the US side. The UK portion continues to perform very well.
Martin Malloy – Johnson Rice & Company: Okay and then if I could, one last question on the MSA in Canada on the fabrication side, I think one of those stretched out a little bit a couple years and you were – I think working to try to mitigate your risk under that. Anything you can talk about there?
Stuart Bradie: Yes, we have not received any additional orders from that client throughout this year. We have no new orders in all of 2014 from that client. I only think about is that the client knows that we are very busy in our facilities there. So, the schedule is always important to clients and we are busy. So, there are other options available to that client and as I said to-date, we have not received any orders at all this year. So, we remained with three of the seven projects and those three are progressing and they should be completed in 2015. And each month that passes obviously, our risk profile declines. .
Martin Malloy – Johnson Rice & Company: Great, thank you.
Stuart Bradie: Thank you, Martin.
Operator: We’ll go next to Vishal Shah with Deutsche Bank.
Chuck Grom – Deutsche Bank: Hi, this is Chuck Grom on for Vishal. How are you guys?
Stuart Bradie: Good.
Brian Ferraioli: Yes, hi, good, thanks.
Chuck Grom– Deutsche Bank: Now that some of the ethylene crackers have moved in construction can you talk about the derivatives opportunities ahead of you? Can you just comment on like a level of field activity you are seeing and then how should we think about, kind of like the peak award timing for the space?
Brian Ferraioli: Yes, I mean, I think the – as I said before, that market continues to be extremely buoyant. I mean, we are doing a number of FEEDs at the moment both in the refinery and the derivatives area. I think it’s a very attractive market in North America right now. So I think the timing of awards is, it will progressively come through next year and beyond. I mean there is no, I don’t think we can put a pin in the mop and say it’s, you should think about peak in such a month. I think, the way to look out it is it’s an extremely good and buoyant market and there is a number of opportunities coming through and I am sure, you are hearing that from others in the market as well.
Chuck Grom– Deutsche Bank: Sure, so, given your strength on the naphtha base portion of ethylene technology and the recent decline into the press, but are you seeing anything in terms of like a pickup of interest or conversation with customers in that business?
Stuart Bradie: No, not yet. But, I mean, you could assume that that will happen, but not yet.
Chuck Grom– Deutsche Bank: All right. That’s it for me. Thank you.
Operator: We’ll go next to Brian Konigsberg with Vertical Research.
Brian Konigsberg – Vertical Research: Yes, hi, good morning.
Stuart Bradie: Good morning.
Brian Konigsberg – Vertical Research: Just coming back to Canada and the master service agreements, just curious, I mean, you noted the increased hesitancy as far as Greenfield projects in Canada, do you think that just kind of the environment is inhibiting some of the additional orders under those agreements? And I guess, perversely it’s protecting it from additional charges related to producing more modules which were missed at?
Stuart Bradie: I mean, potentially, but I think, what there has been done and actually going to talk to customers about the position that we are in, I mean, no one wants to – nobody wants to give an order under a commercial basis that forces a struggle all the way through. I mean, these are mature clients. They understand where we are at and at the end of the day, it’s not good business and so, I am not expecting that to – I think, both of them actually mitigates the risk.
Brian Konigsberg – Vertical Research: And just secondly, just going through the balance sheet, I mean, maybe this is more for Brian. With the strategic review and obviously, I don't want to get too far ahead of it, but your unbilled receivables both current and non-current still remain pretty elevated relative to your sales, which kind of – I would think it indicates there is probably more costs that are being disputed within projects you are currently executing. Is this – is there a high potential that we could see a write-down of questionable receivables as well under your review or do you feel comfortable with where things stand today?
Stuart Bradie: Brian, as you know, if we thought that that was the case, we would have taken it now in the third quarter. So the answer to that is no. But, when you look at the working capital contracts, they are relatively flat. So we have some billings in excess, some cost in excess. But, you know me well enough that I am not satisfied with having a net receivables. I am much preferred having a net payable when we look at the working capital accounts for contracts. So, we have some opportunity for improvement there on cash flow. But a lot of that has to do with existing terms and conditions, in some cases, in Canada where we don’t get to bull until we have completed shipping as an example. So things could improve – will improve on those projects as we get to the end of the remaining three. But also a scenario that I acknowledge that we can do a little bit better on in terms of getting terms and conditions that make invoicing more efficient and making the collections therefore faster than maybe what will we currently have.
Brian Konigsberg – Vertical Research: Okay, thank you very much. We’ll go next to George O'Leary with Tudor, Pickering, Holt & Company
George O'Leary – Tudor, Pickering, Holt & Company: Good morning, guys.
Stuart Bradie: Good morning.
George O'Leary – Tudor, Pickering, Holt & Company: Just one from me, on the Chemicals side, we are seeing the US kind of ramp LPG exports and even starting exports and ethane in pretty dramatic fashion over the next few years. So, in that vein, are you guys seeing international opportunities on the petrochemical side and chemical side converging in tandem with some of the North American chemicals and derivative projects that are out there?
Stuart Bradie: Yes, there we are and particularly from the Middle East.
George O'Leary – Tudor, Pickering, Holt & Company: And that was it for me. Somebody else may have other questions. Thanks, guys.
Stuart Bradie: Thank you.
Operator: We’ll go next to Robert Connors with Stifel.
Robert Connors – Stifel, Nicolaus: Good morning, guys, how are you?
Stuart Bradie: Good.
Brian Ferraioli: Good, thanks.
Robert Connors – Stifel, Nicolaus: If I look at just KBR in the past couple of years, there were only really two acquisitions that affected the goodwill. Those were the BEM K and the Robertson Schaefer, I am just wondering which one of those end-markets is affecting your outlook and where the possible goodwill write-down could come from?
Brian Ferraioli: I mean, the Robertson Schaefer acquisition was, I mean the minerals and mining business. And I mean, I think, you could say it’s not the market there it’s I think we are starting to see come back a little bit, but it’s been a struggle.
Robert Connors – Stifel, Nicolaus: Okay, and then, just around the restructuring charges just what you expect to take qualitatively or are the majority of them centered still around sort of the Asia-Pacific region?
Brian Ferraioli: Nope.
Robert Connors – Stifel, Nicolaus: And if they can give us or which is vacancies.
Stuart Bradie: I think we'll be looking across the whole of KBR as to we can get more efficient.
Robert Connors – Stifel, Nicolaus: Okay, great. Thank you.
Stuart Bradie: Thank you.
Operator: We’ll go next to Michael Dudas with Sterne, Agee
Michael Dudas – Sterne, Agee: Hi, good morning. Any indications in your technology business of improved opportunities from EPC and are sales picking up in some areas there that certainly we may want to hear about in the December Analyst Day meetings?
Stuart Bradie: I think the first thing I’d say, I think and we think technologies are really good business. Our growth in that business over the last few years has been very strong and we have taken the business not only from selling the technology but also into the proprietary equipment arena. But there is also good margins and I think we are seeing a fairly good market for our technology globally. And it does gives us a differentiated position not in all cases but in specific and project-specific particularly in cases we’d sort of move in when it’s appropriate into EPC and I think as an entry into that, it’s a terrific differentiator.
Michael Dudas – Sterne, Agee & Leach: Okay. Great, thank you.
Operator: We’ll go next to John Rogers with D.A. Davidson.
John Rogers – D.A. Davidson & Co: Hi, thanks. Just a follow-up – I guess, first of all, Brian, in terms of your cash collections especially, over the remainder of 2014, are there significant payments due from the remaining from the unconsolidated entries ?
Brian Ferraioli: Significant payments, no.
John Rogers – D.A. Davidson & Co: I mean, good collections this quarter and…?
Brian Ferraioli: Yes, no, no, nothing to the volume of this quarter. We will continue to collect some. As you know, the project is not consolidated as an example. So and I will go back probably to the – more of the normal course.
John Rogers – D.A. Davidson & Co: Okay and then just one more in terms of the strategic review. Are there portions – as you look at the operations in, sort of the various segments, are they all largely small needs modifications or have you gone as far as to think you might get out of the entire segments as a whole in the sense that you might be able to sell them?
Stuart Bradie: I mean, I think that's almost like Jamie's question. I think maybe we – you have to be patient with us. And it's only a few weeks away when we can actually come and tell you exactly where we are heading down that path. I mean, I think, what I would say is that nothing is off the table.
John Rogers – D.A. Davidson & Co: Okay, appreciate it.
Operator: That’s the question and answer session for today. I’d like to turn it back to Mr. Stuart Bradie for any additional or closing remarks.
Stuart Bradie: I mean, firstly, thank you very much for taking the time today to tune in and listen. I think that this is a journey for KBR and I think we are making good progress and hopefully I will get to meet some of you or most of you hopefully in face-to-face in New York. Thank you very much.
Operator: That concludes today’s conference. Thank you for your participation.